Operator: Thank you for standing by. My name is Carly, and I will be your conference operator today. At this time, I would like to welcome everyone to Metallus' First Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Jennifer Beeman. Please go ahead.
Jennifer Beeman: Good morning, and welcome to Metallus' first quarter 2025 conference call. I'm Jennifer Beeman, Director of Communications and Investor Relations for Metallus. Joining me today is Mike Williams, President and Chief Executive Officer; Kris Westbrooks, Executive Vice President and Chief Financial Officer; and Kevin Raketich, Executive Vice President and Chief Commercial Officer. You all should have received a copy of our press release, which was issued last night. During today's conference call, we may make forward-looking statements as defined by the SEC. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in yesterday's release. Please refer to our SEC filings, including our most recent Form 10-K and Form 10-Q and the list of factors included in our earnings release, all of which are available on the Metallus website. Where non-GAAP financial information is referenced, additional details and reconciliations to its GAAP equivalent are also included in the earnings release. With that, I'd like to turn the call over to Mike. Mike?
Mike Williams: Good morning, and we appreciate you joining us today. First, let me say that I'm encouraged by the growing demand for domestic steel and Metallus is well-positioned to capitalize on this momentum. Our solid order book, strengthening spot pricing and recent market share gains reflect the confidence our customers have in us and the resilience of our business strategy. Over the past several months, the trade environment has been widely discussed. We fully support the enforcement and expansion of steel tariffs. As long time advocates, we believe these measures align with our commitment to fair trade and balancing excessive global overcapacity. This evolving trade environment will help us meet the growing demand for U.S. produced steel. As consumption of domestically produced steel increases, we are seeing a rise in our order bookings from new customers and existing customers. Consequently, our order backlog has increased approximately 50% from the same period a year ago. At the same time, we are mindful of the potential challenges posed by the current macroeconomic uncertainty. That said, we are well-positioned as a U.S. business with a strong balance sheet and continued focus on cost management. We remain focused on execution and the factors within our control in order to deliver value to our stakeholders. Switching gears to safety. Our mission is to be recognized as having the safest specialty metals operation in the world. In 2025, we plan to invest approximately $5 million to further strengthen our safety management system and upgrade equipment. I'm pleased that our past safety investments are yielding results. To date, in 2025, we have seen a year-over-year improvement in all safety metrics. Two key areas of focus; lockout/tagout/tryout and zero incident planning are exceeding our target rates, thanks to the commitment of our employees, continuous training and supervisory oversight. We recently held our Annual Iron Shield Competition, which invites our employees and crews to submit innovative safety projects aimed at improving safety practices. In total, over 100 projects were submitted for consideration this year. The Faircrest electric arc furnace team earned the 2024 Metallus Iron Shield Award for establishing a hands-free EAF tap-hole lance process, significantly improving safety. Historically, manual lancing posed exposure to potential hazards, but the team collaborated with a third-party to develop an automated system using a custom design mounting block, telescoping lance and push button controls. This innovation has reduced exposure by over 80%, with plans for further enhancements. Their dedication to safety and teamwork sets a new industry standard. Congratulations to the Faircrest team. Moving to business results for the first quarter. Overall shipments increased by 17% compared with the fourth quarter, driven by higher industrial, automotive and energy shipments, partially offset by lower aerospace and defense shipments. As a result of the higher shipments and lower manufacturing costs, our sequential profitability more than doubled. In the first quarter, our melt utilization improved sequentially by 9 percentage points on strong end-market demand. Although not yet to our targeted melt utilization rate, we expect further melt utilization improvement into the second quarter to support our strengthening order book. Lead times are currently 10 weeks for SBQ bars and our seamless mechanical tubing products. Turning to specific markets. Shipments to our industrial customers increased by 33% sequentially, primarily driven by distributors replenishing their inventory, which helped to offset weaker mining and agricultural markets. We've experienced steady distribution orders and shipments to date through April, which supported recent spot price increases for SBQ and seamless mechanical tubing products. Kris will comment on the specifics of the spot price increases shortly. Energy shipments improved 24% on a sequential basis. Despite a relatively flat rig count since the beginning of the year, our shipments to energy customers have been increasing as we gain share in certain product categories such as coupling stock, directly resulting from the displacement of imports. We are confident that we have the right programs and service packages in place to capitalize on opportunities in the energy market. Automotive shipments improved by 9% sequentially. The sequential increase in shipments is mostly driven by seasonality. The impact of tariffs on the automotive market remains uncertain in the foreseeable future and to date, we have not experienced demand softness. However, we maintain close contact with our customers to monitor potential shifts in programs or emerging opportunities. As a reminder, Metallus benefits by participation on the highest running light truck and SUV automotive programs, including internal combustion, hybrid and electric vehicles, which gives us confidence to manage potential volatility in this market space. In the first quarter, key aerospace and defense customers had some production start-up challenges, which resulted in a sequential decrease in aerospace and defense shipments. We expect higher aerospace and defense shipments as the industry works through these short-term supply chain challenges. As we have indicated previously, end market demand remains strong and we are confident in our long-term participation in this market. As we mentioned last quarter, we are expanding our participation in aerospace and defense by leveraging Vacuum Arc Remelt steel, combined with our unique downstream processing capabilities. In the first quarter, we saw significant orders for Vacuum Arc Remelt from new and existing customers. We remain on track to hit our 2025 goal of approximately $30 million of revenue using outside VAR products, combined with our rolling and piercing capabilities and look forward to growing this business in the future. In the first quarter, we achieved another key milestone related to the installation of new assets to support the increasing demand for artillery shells. This project remains on schedule, and we look forward to continuing to partner with the U.S. Army in ramping up the munitions production. Our capital allocation strategy remains unchanged, prioritizing strategic investments that drive long-term profitable growth, along with our ongoing share repurchase program. To summarize, there is uncertainty in the trade environment and macroeconomic landscape, but we remain cautiously optimistic given our U.S. based business model and participation in growing specialty metal programs. We will continue executing our business strategy while prioritizing safety, delivering outstanding customer service and making strategic capital investments to further support sustainable profitability, generate strong cash flow and create shareholder value. Now, I'd like to turn the call over to Kris.
Kris Westbrooks: Thanks, Mike. Good morning, and thank you for joining our first quarter earnings call. I'm pleased that we started off the year with a sequential improvement in shipments, net sales and profitability. We continue to invest in the business while also maintaining a strong balance sheet. From a financial results perspective, first quarter net sales totaled $280.5 million, a sequential increase of $40 million or 17%. The increase in net sales was primarily driven by higher shipments of 22,700 tons, with increases across all end markets, except aerospace and defense, or A&D for short. Although, A&D shipments declined on a sequential basis during the first quarter, driven by customer start-up delays, we expect shipments to A&D customers to increase during the second quarter and demand to remain strong for the foreseeable future. Net income in the first quarter was $1.3 million, or $0.03 per diluted share. On an adjusted basis, net income for the quarter was $3.2 million, or $0.07 per diluted share. Adjusted EBITDA was $17.7 million in the first quarter, a sequential increase of $9.4 million. In addition to the previously discussed 17% increase in first quarter shipments, manufacturing costs declined by $12.5 million on a sequential basis. The improvement in manufacturing costs was driven by increased cost absorption on higher production volume, as well as lower planned annual maintenance shutdown costs. Additionally, the team continues to carefully manage their costs and drive operational efficiencies. Also contributing to the higher adjusted EBITDA was an increase in the raw material surcharge revenue per ton as a result of higher scrap and alloy prices. Partially offsetting these items was unfavorable price/mix during the quarter, driven by a variety of factors, including lower base prices, as well as a higher mix of automotive and distribution shipments, combined with lower A&D shipments. Now switching gears to pensions. In the first quarter, the company made $52.6 million of required pension contributions, of which the majority related to the U.S. bargaining plan. During the month of April, we made $5.9 million of required pension contributions and estimate an additional $10 million of required contributions in the second half of 2025. Following this elevated level of required pension contributions in 2025, the company is estimating a significant reduction in future required contributions, subject to future investment performance, actuarial assumptions and funding laws. Overall, the net underfunded pension and post-retirement benefit liability totaled approximately $120 million as of March 31, 2025, a significant reduction from prior years. We continue to actively manage the pension and we'll provide further updates as available. Moving to cash flow. During the first quarter, operating cash flow was an outflow of $38.9 million, driven by the previously mentioned required pension contributions. As expected, working capital was a use of cash, driven by significantly higher sales activity to start the year. At the end of the first quarter, the company's cash and cash equivalents balance was $180.3 million, including $44.5 million of government funded cash on hand for future investments. I'll provide further details on government funding and the related investments shortly. Capital expenditures totaled $27.5 million during the quarter, including approximately $14 million of CapEx that was supported by government funding. For the full year 2025, we continue to forecast approximately $125 million of CapEx, consistent with previous guidance and inclusive of approximately $90 million of CapEx funded by the U.S. government. In terms of taxes, cash taxes are expected to be minimal in the second quarter. However, the second quarter effective tax rate will likely be more than the statutory rate as a result of the upcoming convertible note settlement, which I'll discuss shortly. As it relates to government funding, during the first quarter, the company received $11.9 million of cash from the government as part of the previously announced $99.75 million funding agreement in support of the U.S. Army's mission of increasing munitions production. The milestone which drove the first quarter government funding payments was the finalization of the permitting and asset design for the new roller furnace to be located at our Gambrinus facility. During the first quarter, the company also received an additional $1 million from JobsOhio as part of the previously announced $3.5 million grant. In April, the company received an additional $5.1 million in government funding upon the delivery of the in-line saws to our Harrison facility, which will support the new automated grinding line. To date, through the end of April, the company has received $71.5 million of government funding. Receipt of the remaining approximately $32 million of committed government funding is expected throughout 2025 and into 2026 as mutually agreed upon milestones are achieved. As a reminder, this funding will substantially pay for the new bloom reheat furnace at the company's Faircrest facility, as well as the other assets I just mentioned. Switching gears to shareholder return activities. In the first quarter, the company repurchased 395,000 shares of its common stock for $5.6 million. In April, the company repurchased 96,000 shares of its common stock for $1.2 million. At the end of April, the company had a balance of $96 million remaining under its share repurchase authorization. As it relates to convertible notes, during the first quarter, we received a notice of conversion from the holder of the remaining $5.5 million of convertible notes. The final cash settlement amount will be calculated using a 50 day volume weighted average stock price, leading up to the June 16 settlement date. As of March 31, 2025, the fair value of the outstanding convertible notes was $9.7 million. Similar to prior convertible note repurchases, the difference between the settlement amount and principal amounts will be recognized as a loss on extinguishment of debt and will be excluded from adjusted EBITDA. Since the inception of common share repurchases in early 2022, combined with the convertible note repurchases to date, we reduced diluted shares outstanding by a significant 23% compared to the fourth quarter of 2021. Following settlement of the convertible notes in June, the company will be debt free and well-positioned for the future. Our balance sheet remains strong and is supported by a total liquidity of $432 million at the end of March. Turning now to the outlook. We anticipate second quarter adjusted EBITDA to be higher than the first quarter. Commercially, second quarter shipments are expected to modestly increase on a sequential basis, primarily due to higher A&D shipments. Lead times currently extend to July for both bar and tube products. Additionally, as Mike mentioned, we recently implemented spot price increases on SBQ and seamless mechanical tube products not covered by annual pricing agreements, which is about 30% of our order book. Specifically, for SBQ spot orders effective April 28, prices increased by $60 per ton for standard products and $120 per ton for thermally treated products. For seamless mechanical tubing spot orders effective July 7, prices will increase by $100 per ton. Operationally, melt utilization is expected to increase in the second quarter and result in better manufacturing cost absorption, driven by improved operational performance and supported by an increasing order book. The organization remains cost disciplined, carefully managing spending while also maintaining assets at optimal levels. As we progress through the second quarter, we're encouraged by the increased level of inquiries and order activity from both new and existing customers. We're committed to our operating plan to ensure we deliver quality products to our customers while also driving an increase in our profitability. As a U.S. based metals producer with a strong balance sheet, we're well-positioned for future success. Thanks to all of our employees, customers and suppliers for their continued support. To wrap up, thanks for your interest in Metallus. We'd now like to open the call for questions.
Operator: [Operator Instructions] Your first question comes from Samuel McKinney with KeyBanc Capital Markets.
Samuel McKinney: Hi. Good morning.
Mike Williams: Good morning, Sam.
Samuel McKinney: 1Q '25 shipments up about 17% sequentially, a strong figure, well ahead of normal seasonality. We've been hearing a lot about pull forward demand to get ahead of tariffs during this earnings cycle. And I was curious, if you could frame up how much of that volume boost has to do with that dynamic?
Mike Williams: Very little actually because -- for Q1, because most of those orders were placed in Q4 and the tariffs didn't really go in effect until April. So there was -- in that shipment, increase was very little -- actually none trying to hedge the tariffs. It really was market share gains that we achieved in negotiations for 2025 and increasing spot buys from distributors restocking their inventory after year end.
Samuel McKinney: Okay. That's helpful. And then, Mike, you touched on this earlier, but I wanted to dig in more. I know the energy market has been heavily affected by imports, but you had solid volume momentum in the first quarter. Could you talk about what you're hearing from customers in that segment and what sort of cadence you're looking for in the months ahead?
Mike Williams: Yeah. I mean, our expectation is that our energy product demand will continue to increase as that industry or end market is really trying to source domestically because they have been historically heavy importers. There is still a little bit of inventory – foreign import overhang down in some of the Houston area. And as that’s getting worked off, we continue to expect our order book demand from our energy customers and new customers to continue to increase.
Samuel McKinney: Okay. I appreciate it. Thank you.
Mike Williams: Thank you, Sam.
Operator: [Operator Instructions] Your next question comes from Dave Storms with Stonegate.
Dave Storms: Good morning, guys.
Mike Williams: Good morning.
Dave Storms: Within the A&D, are there additional details you can give us on the customer manufacturing start-up challenges?
Mike Williams: Yeah. So, you have a new facility that's been constructed. And that facility going through the commissioning process ran into difficulties. I'm not going to get into the details even though we're quite aware of the details because I don't want to speak for someone else. But as they overcome, they kind of rebooted their commissioning process and our understanding is progress is being made. And later this year, we should start to see that new facility begin to order from us, and we look forward to that. However, we've also gotten a number of new inquiries from -- not only within the United States, but outside of the United States for our uniquely positioned munition grades that we make. So, we're pretty excited about that. And then we've also won a number of other, what I would call, military applications, and those will begin to ramp up in the second half of the year. That's a variety from gun barrels to different types of, I guess, I call them missiles. So, we're pretty excited about the progress we're making. We've got new customers. We've got new applications. The Vacuum Arc Remelt products that we are now promoting and selling, we've gotten significant orders. And we're working through a number of qualifications with new customers to ramp up our sales in that area, and we're highly confident of meeting our interim target of over $30 million of new sales in those product lines.
Dave Storms: All right. Thank you. And then, how do you feel about current production capacity given the strengthening order book?
Mike Williams: We have plenty of capacity.
Dave Storms: Got it. Thank you.
Operator: There are no further questions at this time. I'll now turn the call back over to Jennifer Beeman for closing remarks.
Jennifer Beeman: Great. Thank you, everyone, for joining us and that concludes our call today.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect.